Alan Jackson: Good morning ladies and gentlemen, and welcome to Playtech's results for the first half of 2016. I'm very pleased to report that Playtech has made significant progress in 2016, delivering on our strategic objectives. We've delivered strong growth in our gaming division with significant new licensees and important renewals securing future growth. Our financials division has now completed its transition and is positioned for sustainable growth. We have had a busy 2016 for M&A, most notably with the acquisition of BGT and Quickspin in our gaming division, both directly in line with our strategy. Our balance sheet and continuing substantial cash generation has enabled us to increase our regular dividend, adopt a progressive dividend policy and return €150 million to shareholders through a special dividend without impacting on our M&A capabilities. Now, given the progress we have made and the growth we have already secured, we remain confident of strong growth in 2016 and beyond. Now, I felt I should draw your attention to the fact that this is most 10th interim results. 10th long basic fiscal years this has been a fantastic time and success since Mor took the helm. And I think the facts really speaks for themselves with revenues up over 10 times not period. It's a tremendous team that's they really delivered and I'm very proud and very delighted to be associated with them. I'm also delighted to say that why Playtech is significantly bigger than when Mor started as CEO. As you can see from this the first snap shot. Mor is significantly smaller than he was. I'm trying to buy the old suits off him, but there we go. Perhaps we're working him too hard and he'll be soon be back to his slim and sylphlike presence. Anyway, well done for surviving 10 years Mor, and you and Ron creating such fantastic results. So with that I'd now like to hand you over to Ron, who will take you through the Groups financial performance.
Ron Hoffman: Okay. Thank you, Alan and good morning everyone. The first of 2016 saw very strong reported growth in both revenues and adjusted EBITDA. It is notice overall that the adjusted EBITDA line item grew faster than revenue reflecting an improving gaming margin which we look at in more detail in a fewer slides time. Due to significant macroeconomic events in the first half we experience significant fluctuations in currency exchange rates. Mainly effecting the financial results for the period across all key metrics. Given significant cash balances held in sterling, these have specifically impacted the adjusted net profit line item resulting in a €43 million loss in H1 2016 versus the €27 million gain in the comparable period in 2015 and €70 million during the total. As this slide highlights when presenting the result of constant currency there is a material impact to all the presented line items with the most notable being the adjusted net profit which moves from being down 31% on a reported basis to up 54% at constant currency. It can be seen from the bottom line of the slide. When adjusted for acquisitions and at constant currency underlying results of revenues adjusted EBITDA and adjusted net profit were up 17%, 36% and 49% respectively. Adjusted net profit grew softer than adjusted EBITDA at constant currency, primarily a result of the increase in dividends from the investment in Ladbrokes and Plus500. When excluding these dividends contributions underlying adjusted net profit increase by 41%, closer to the growth in underlying adjusted EBITDA. It is worth noting that sterling has further weakened since June 30, resulting in exchange rate loss to date in H2 '16 of approximately €30 million. Looking now at gaming verticals, it is once again clear to see the impact of exchange rate movement in each of the verticals casino continues to go strength to strength up 27% on a constant currency basis adding €28.1 million to reported revenues. This exception of performance was driven by a mixture of existing and new business, including growth on UK customers such as Ladbrokes, Sky and Bingo with the particularly strong performance on both lives and in Asia. When we have added new customers -- where we have added new customer as well as improved our commercial terms as indicated in the 2015 yearend results. 80% of total casino growth came from mobile with mobile penetration in casino increasing to 24% from 14% in H1 last year. Services grew 8% on a constant currency basis, reflecting the continue transitions from dot com to regulated revenues trends, strengthen to the white label offering resulting in a higher proportion of regulated revenues for this vertical. At the end of the first half of the year, we significantly improved the efficiency of the services division cost base, changing the operational structure to localized operations in jurisdictions where we service our customers, resulting in a reduction of over 150 employees, predominantly in Israel. This is expected result in approximately €9 million of savings on an annualized basis. Although investment in the business means that this won't simply drop due to the bottom line. Sports grew 15% at constant currency with a good contributions on certain UK operators as well as from Caliente, which Mor will talk about in greater detail later. As previously disclosed, excluding BGT revenues, the second half since 2016 is expected to see revenues from sports decline due to the loss of three more bingo contracts to the UK licences who are implementing their own front end. It is worth noting that from 2017 onwards we are going to remove the land base vertical and allocate revenues from this vertical into casino and sports as appropriate. Removing land base reflects the true omni channel nature of our offering. Revenues on BGT will be included in the sports vertical going forward in the full year result of 2016 we will include the revenues split by vertical on both the current and new basis to assist with modelling. Land-based grew by 7% at constant currency. The half saw revenues from new customers, elite gaining of Denmark with further rollouts and opportunities in the pipeline for these customers. In addition, we deployed 500 new terminals to RAY, generating additional growth; however, comparative revenue growth was tempered by a one-off sale of terminals in H1 2015 which did not recur in H1 2016. Despite high levels of activity at operator level, bingo saw a 5% decline in constant currency primarily due to increased bonusing from operators, which is part of a cross selling strategy to drive further revenues into other verticals. Predominantly casino, alongside several one as which also impacted revenue, as a reminder Bingo revenues are expected to increase H2 2016 with a go-live of Sun Bingo and Fabulous Bingo. The online poker market remains challenging with revenues down 16% in the half, we remained dedicated to the poker, as it’s an important vertical in the operators offering. During the period, we deployed our new mobile native offering across the number of customers and launched win2day, an Austrian operator, which is schedule to share liquidity with the finish monopoly way. This is something that we see also in France, as the French senate approved an amendment to its gaming regime to allow shared player liquidity across Europe. As we discussed at the 2015 final results, since we acquired Markets Limited in May last year. The regulatory back drop under which it operators has become increasingly developed with tighter restrictions and controlled in imposed on brokers. The first half results reflects the full impacts of the business transition and improvements main due to these regulatory changes. Market Limited reported revenue of €31.3 million and increase €20.7 million against the reported results for H1 2015. However the H1 2015 results only consolidated that the financial performance of market from its acquisition on May 8, 2015. For the 36 months performa revenue reduced by 28% from €43.2 million in H1 2015, reflecting the full impact of the business transition and improvement announced at the full year results. These include the cessation of revenue streams from introducing brokers and they move away from a sales person approach to automated sales funnels together with tight on boarding procedures and greater restrictions on marketing and promotions. While the impact of these changes as resulted in reduced revenue, it has remained a robust platform with the foundation for sustainable growth in a continually evolving regulatory environment. We’re now confident that market has the right platform for sustainable growth and it is beginning to show positive signs evidence by an improved performance in July and August to date. The second half of the year will also benefit from further cost efficiencies made in June. With headcount now reduced by almost a third since the acquisition in May 2016. The changes made to the business model are evident in the KPIs of the business with active customers trading on the coremarket.com site, over 15,700 down 11% on H1 2015 and with first time depositors of 5400 down by 45%. It is worth noting however that active customers fell less than FTDs with customers churn lowered by the attractiveness of the market.com platform. It’s also worth noting that 42% of new customers are now onboarded through our mobile application, an increase from 23% in H1 2015, which reflects the successful transition towards automated funnels as opposed to previous sales person approach. While the B2C business reduced on the back of the business improvements since cessation of indirect activities. The B2B business grew significantly with active customers of 13,000 more than doubling from H1 2015 and at [decrease] of 7,700 a 60% increase from H1 and out there. With the portion of historic introducing brokers moving to B2B relationships as well as new business wins. In addition, given the uniqueness of our offering and technology we see further B2B opportunities with the pipeline of new B2B customers operating in new jurisdictions where markets.com has no existing presence. We expect B2B business to further contribute to the organic B2C growth overtime improving the geographical reach and diversification of customers. Group adjusted EBITDA margin improved from 39% to 43% in the half. With the material improvement in the gaining division margin. This was driven by cost efficiencies in the business improved commercial trends in Asia, which increased revenue with no material additional cost and improvement in the white label margins from negative 16% in H1 2015 to marginally profitable in H1 2016. For full transparency, white label was almost breakeven in H1 or €19 million of revenue including cost incurred in advance related to the Sun Bingo business win. When excluding the Sun Bingo cost white label was marginally profitable. On a constant currency basis the Group margin expansion was even more interested in moving from 39% to 44%. Looking now at costs. There has been no material change for the breakdown of adjusted operating cost versus the same period in 2016. The only changes that note to the breakdown of cost has been and falling in the cost of services due to last year's expiration of a licensing agreement for certain real money and social gaming IP, and an increasing marketing cost at the end of H1 last year primarily due to inclusion of markets from the full half of 2016 against only two months in H1 2015. Turning now to below the EBITDA line items. As mentioned earlier adjusted net profit was significantly impacted by foreign exchange movements with the €70 million swing from H1 2015. As discussed when we announce the acquisitions of BGT, although there is no change to the underlying D&A charge, depreciation will increase from H2 onwards due to higher CapEx requirements of BGT. Adjusted EBITDA was further impacted by the increase number of shares from the equity placing in June 2015. At constant currency, EPS increased by 40%. Looking now at cash flows. Net cash from operations was up 4% to €99.5 million with further inflows of €9 million from dividends paid by Ladbrokes and Plus500. Operating cash conversion improved from 69% to 78% from adjusted EBITDA when adjusted for jackpots, security deposits and client equity. This adjustment is necessary as the timing of cash inflows and outflows for jackpots, security deposits and client equity only hips operating cash flows for technical accounting reasons and does not reflects quality of revenues or cash collections. The 78% of cash conversions reflects the growth in the receivables which is effected by collection post cut of date and further complimented by growth of the business. If adjusted for timing of collection cash conversion will be close to a 100%. For clarity there are no changes to payment terms with customers and no changes to the way we recognize revenues in our accounts. This trend from sustainability of our operating cash flows has enabled payment of its special dividend as well as increasing the regular dividend which Mor will talk about later. The strength of Playtech's balance sheet as well as its continuing cash generation provides significant fire power to execute our strategy, having spent €170 million on M&A in 2016 to date, Playtech had 778 million of cash and cash equivalent at the end of H1 '16 or 640 when adjusting for the acquisition of BGT after the period ends. In addition, Playtech have €234 million of available for sale investment at the end of H1, broadly at the same level at the end of 2015. Playtech also receive €9 million in dividends from these investment during the period. With that I’ll hand over to Mor.
Mor Weizer: Thank you Ron and good morning everyone. I am delighted to say that the gaming division had a very strong half with 18% underlying growth. As Ron discussed casino continues to drive gaming growth with the notably strong performance from live. Gaming enjoyed a good contribution from both existing and new licences including from structured agreements and in a few minutes time I’ll focus on Caliente which illustrates what can be achieved with the new customer in a newly regulated market. As we have mentioned what happened in the 2015 results regulated revenues as a percentage of total revenues in the half decreased, despite growing significantly in absolute terms due to the strong growth from Asia. Looking forward the percentage of revenues from regulated markets will improve driven by the continued increased in regulated revenues in general as well as the go live of the Sun Bingo yesterday and the inclusion of the fully regulated revenues from BGT. Finally, mobile revenues accounted for 29% of software revenue an 8% increase from the same period last year, we have seen a lot of room for further growth and I’ll discuss mobile in greater detail shortly. Playtech had a very strong half from an operational perspective, locking in future growth for the business. We launched 16 new games in the half including the highly successful Age of the Gods series as well as launches of pioneering virtual products, including best ever Virtual Tennis and a Virtual Sports Football acca, or accumulator. Replicating a real-life football accumulator, the virtual sports football accumulator off-the-shelf product has been rolled across 100 UK call shops with the potential to deploy across 1000 outlets in the next 12 months. I am also delighted to announce that these has been several -- there have been several significant concept renewed in 2016 with seven of our top 10 licences on contract which should run for a minimum of three years and other licences expected to follow. Several customer signed prior to 2016 recently launched including PokerStars, MARCA.es, Fortuna and Sun Bets as well as Sun Bingo which was migrated yesterday and will immediately lead to incremental revenues. We have also today announce the signing an omni-channel agreement including sports and casino with Fortuna for the Czech Republic, Poland in and Slovakia with other regulated markets to follow. This follows the launch the Fortuna brand in Romania earlier this year and evidences our ability to penetrate newly regulating markets. On top of all of this our pipeline of new licenses remain strong, driven by newly regulated and soon to be regulated markets, including vanilla software licensing agreement as well as structured agreements, establishing us to accelerate our growth. Not only did we extend the existing relationships and find new customers. Some of the most promising new customers and partnership have only just started contributing towards our revenues with some already secured and expected to launched later in the year. Accordingly Playtech has real visibility and certainty over its future revenues with growth coming from many diversified sources. I thought it would be worth spending a few minutes looking at Caliente as a case study of how choosing the right partner in a newly regulating jurisdiction and applying Playtech's leading technology and expertise, expending it’s reach beyond software in what we call a structured agreement can quickly leads to dominant position in a market. These follows our success with local partners in the UK and other European countries and they represents one of our pillars for future growth. Caliente is one of the oldest betting brands in South America with around 100 points of sale, many through betting sections in land-based casinos. It is also the largest and leading land based casino group in Mexico, a country in which Playtech is no presence before we begin regulated. Finally Caliente also has a B2B arm and is the key supplier of retail sports solutions to a number of different casino groups across Mexico. Caliente has enjoyed remarkable growth over the past two years and is now the unquestionable market leader, not only on the retail but online as well. The Playtech relationship with Caliente includes a true omni-channel solution covering retail, web and mobile and includes all relevant products such as sports and casino. The contract is a very comprehensive one with various phases yet to be deployed that will unlock further growth, generating additional incremental revenue streams in the coming quarters. Finally Caliente is a significant opportunity for SSBT deployment following the acquisition of BGT. Although we have removed the scale for confidentiality reasons the two charts showing growth in both Caliente’s revenues and first time depositors over the past two years, , since the market regulated, clearly highlight the rapid growth that Caliente has enjoyed. Caliente is now trending towards being a top ten license for Playtech and we believe that Playtech will continue to achieve similar success in every single newly regulating market across few open elsewhere with some already secured. We have a strong pipeline of other companies that closely monitor the success of Caliente and other companies associated with Playtech being a key software and services provider. Although Playtech remains a relatively small player in sports providing a significant opportunity for growth. Playtech sport is fully operational for many customers outside of the UK. Examples include Caliente, which we have just discussed, [Slotland] in Greece, MARCA in Spain, Fortuna Romania and I1BET. Given that with our experience with sports, we thought it would be interesting to share some stats on the 2016 European Championship, which was very much a bookmaker favorable tournament. The bottom two statistics are particularly interesting with betting against the odds-on favorite in every game over seven times more profitable than backing the favorite. We believe that SSBTs are critical to the future of retail and believe that we have only just scratched the surface for their potential. Just as the UK has led their way with mobile penetration with the rest of the world than following which I will talk about in detail later. I believe that the rest of the world will follow the UKs leading adopting SSBTs. There are more than 100,000 betting shops and slot halls which SSBTs can go into in Europe alone and many shops could have at least four or five SSBTs it's not more. That's a potential market approaching half a million machines and doesn't include markets outside of Europe, some of which are very significant. As I mentioned earlier there is a significant potential for SSBT deployment in Mexico and there is just one market of many. BGT is offering combined best in class technology with a digital terminal that revolutionizes the traditional over the counter experience and provides and incredibly powerful omni channel solutions when deployed with a Playtech sports backend capability. BGT ticks every books it is the market leader in the sports product line that is key to our strategy in coming years it's a growing company doubling its fully regulated revenues every years in the last three years and is expected to continue to rapidly growing in the coming years. It is today the more sophisticated sports system using the most advanced technologies including some key differentiators that lead to better sports margins and better results; at times, double what others generate. The timing of BGT acquisition was not coincidental, it is at an inflection point given the appetite of book maker across fewer to be energized by digitizing the businesses. BGT is also a key element of the omni channel offering and becoming exactingly important as evidenced by recent announcements of certain leading book makers. BGT represents the future offering both in retail and online environments like. I like certain companies which are the product that is coming to the end of their technology and offerings life cycles and that are focused on one or two key core markets. BGT offers a flexible solution that can be deployed in various regulated markets using the more sophisticated and advance technology and features and represent a significant growth opportunity. I was also delighted to be able to announce the acquisition of Quickspin earlier in the year. Quickspin is exactly in line with our strategy of acquiring soft growing and high quality game studios. It has a high quality pipeline of new games and customers which will provide significant growth in the coming years as well as providing Playtech with greater penetration in the Nordic region. Not only do we see very high demands of Quickspin games, we believe there is the in potential for further growth by integrating the games into our leading casino offerings. By doing this Playtech licenses and their customers benefit from a wider variety of games with different experiences, looks and feels, helping us to maintain our position as the key supplier for the casino channel. Looking now at customer concentration going forward we will be presenting these on a different basis which better reflects the reality. Historically we have presented our largest licenses as a single customer however these licenses has actually a license distributor for a large number of licenses who sit beneath. The distributor model in Asia is common and used by different B2B and services providers. Playtech has always use distributors and local companies to establish itself across the region, acknowledging the importance of understanding the culture and the importance of having the right partner, not just any partner. The model serves us well, as it provides us with access to local gaming specialists who truly understand the culture; the relevant people, the relevant key people and the most relevant potential operators. They ensure that all operators go through due diligence process before enjoying the length of the agreement and that they maintain all relevant permits and licences as well as serve them locally by using local personnel who share the same languages and cultures. There are currently 18 operators who sit below the distributor and if these are split out the revenues from the top five customers falls from 59% to 39% with revenues from the top 10 falling from 74% to 57%. It is extremely important for any B2B company to ensure that it's revenue sources are diversified and I believe that is breaking down our reported customer concentration to the operator themselves better reflect the diversity of our business in terms of customer concentration. Looking now at mobile penetration, we thought it will be helpful to separate the UK as the most developed mobile gaming market in the world from the rest of the world. As you can see from the chart although 29% of our software revenues come from mobile there is a material difference between the UK and the rest of the world with mobile accounting for over half of the UK software revenues but only 18% for the rest of the world. This highlights not only how more developed the UK market is but also the massive opportunity in other parts of the world, particularly in Asia which currently generate only 15% from mobile. We have started the deployment of the new native app version that is never been seen before as well as new HTML five version to appeal to local audiences in certain markets where HTML five is more dominant. We expect the mobile percentage to continue growing, giving the continues migration of web customers to more intuitive and friendly mobile platforms and new customers that are mobile only customers. Looking now at capital allocation, Playtech continues to focus on M&A to augment organic growth. Our M&A pipeline remains healthy and we are currently in discussions for a number of potential acquisitions in the gaming division and financial division. As everyone is aware M&A is an inherent part of Playtech strategy. We will always look to ensure that we maintain our marketing position by further strengthening existing product lines and extending beyond these into new product line that are complementary to our offering with the acquisition of BGT being a perfect example of this. As we previously indicated, we are focused on number of key areas such as omni-channel, sports including product end content, games content and business intelligent system that will enable our customers to better engage with their customers and control the plan acquisition in media buying in the most effective way. We will also look at selective bolt-on acquisition for the gaming division as well as the financial division which add to our capability. As Ron discuss, due to the strength of its balance sheet and continuing cash generation Playtech is in a position to return capital to shareholders with no impact whatsoever on it’s ability to make acquisitions. I’m therefore pleased to be able to announced a total payment of €0.57 per share or 50 p per share at the current exchange rate through an increasing the ordinary dividend together with a special dividend. Looking first at the interim dividend given the significant impact of FX, the Board has recommended that the H1 interim dividend for 2016 will exceed the 40% payout policy a lining the growth in dividend to that of the two underlying performance of the company. Playtech will also be returning €150 million to shareholders by were the special dividend to be paid in the December 2016. Going forward Playtech we look to pay a progressive dividend reflecting our confidence in the growth and cash generation of the business, which provides greater certainty and consistency on dividend payments including allowing for non cash items to be taken into accounts. Turning to the last slide; the gaining gaming division continues to go from strength to strength with strong current trading so far in Q3 driven by existing a new customers as well as structured agreements and JV’s. Although excluded from the current trading figure provided BGT is now fully consolidated further adding to the opportunities. The financial division had completed it’s transition period, is now positioned for sustainable growth. Playtech continues to focus on M&A to augment organic growth and the M&A pipeline is healthy. Given the progress we have made till date in 2016 delivering on our strategic objectives. We remain confident of strong growth in 2016 and beyond. So that ends our formal presentation for the morning and we would now be pleased to take the question. As we are being broadcast this morning could I please ask that you wait for one of the microphones that we have here. Thank you.
Q - Vaughan Lewis: Hi, it's Vaughan Lewis from Morgan Stanley. First one on Markets, you've only done €6 million of EBITDA in the first half so can you just give us an outlook for the year, where you expect that to end up in the full year and then whether that has any impact on the earn-out that you're planning for next year? Secondly, the receivables are up a little over €20 million from the year-end, can you just run through the dynamics there and whether there's any trouble collecting cash or anything like that? Then thirdly, you've talked a lot about the locked-in growth from the contracts you've already signed; can you give us an idea about how much revenue you're expecting from all of those contracts in aggregate? I know you won't give them individually, but maybe a percentage that you see as locked in for Q4 and onwards? Thanks.
Unidentified Company Representative: Okay, I will start with the questions on markets. So first of all reiterate the fact that the first half is reflecting the transitions periods for market. Right now we look at the forecast for the end of the year other then the fact than the fact as we believe that we now have the right platform for growth. The effected by the volatility in the market, so there is the market conditions are differently required in order to cater for growth in the second half. We defiantly believe that can get there. But I would caveat that with both the volatility and any further developments that may happened with in terms of regulations. Regulations can continue to develop. We believe we’re well positions, we welcome the changes in the regulation. We actually think it’s caters for essentially company versus Market.com gaining more market shares. This business in this industry is very fragmented there are lot of brokers out there some of them are more aggressive than our pair sort of the historic aggressive brokers prior to the change of the regulations and we believe that these changes will cater for a more consolidated market where the market share were defeated with the bigger ones with the more responsible brokers such as those sales and we definitely welcome back. In terms of the earn outs we believe at this stage there are no changes to be positioned as we have for the earn outs I think it's too early right now to make any changes well we feel confident of the growth of the business we don’t look at this business in the short time frame we look at it we think they can meet to long-term across for this business this is now really a transition period which we came to the markets and it goes back and we did the annual accounts with 2015 so no surprises there but we do believe that we are now well positioned for growth onwards. In terms of the receivables I would say there is just to clarify to make sure that this is clear to everyone. We have collected a 100% of the outstanding receivable of the yearend and we are almost collecting a 100% right now through all outstanding amounts from the interims as well there is no issues on collection it's only a matter of cut of date and nothing beyond that. Our cash conversion as I indicated in this part of our presentation is close to 100% in terms of operating cash to EBITDA and the only mal element is just the timing; it's only an element of when we basically send the monthly invoices to our customers and the time, for instance, of when we actually that. In some cases we get the money before the month end and in some cases a few days after this is the only element reflected in the growth of the receivables and the growth of the business altogether.
Mor Weizer: Obviously worth mentioning we haven’t change in the since I remember the company or since the beginning we never change the segment terms or the contracts with our customers we believe we recognize our revenue and just to give you more comfort on that it's just a natural the cut of dates. As for the growth I think that it's too early to quantify that obviously in some cases it is dependent on certain successful migrations I'm happy to say that there are some migrations there are some single migration that follows to some that's launched earlier in the year was very successful for us. Obviously, we mentioned this morning Fortuna, an agreement with Fortuna that was just fine with go live in the beginning of 2017 on the back of the new relations and therefore I think that this is quite early to quantify this I would just mentioned Fortuna focus out Sun Bingo in Romania we launched with Fortuna, Superbet, MaxBet. So there is a long list of new customers that will definitely immediately and some in the very short period will start contributing towards our revenues and while I think it's too early to quantify I would say that the constant in a position to stay and we are very confident about that the support double digits growth going forward which is the studio Playtech and which is the essence of the B2B, the business that we have and we definitely think to continue with that.
James Wheatcroft: Morning, James Wheatcroft from Deutsche Bank, a couple of questions please. Firstly, just in terms of your discussions on M&A and obviously you played there well maybe you will pick up some of the cash hick ups that are on the balance sheet ultimately what if you have to a similar leverage and how much. And secondly, in terms of sort of consolidation segment of sector and how do you believe that all time effect Playtech is specially within your larger players aiming to take more control of technology?
Unidentified Company Representative: Okay, so let me answer the first one, let me just reiterate what we sort of presentation. The fact that we are issuing the special dividend doesn’t change anything in terms of capabilities to the M&A. €150 million is not changing any potential acquisition of Playtech, it doesn’t change the scope of this or the size of any potential acquisition, we are looking at variety of acquisition, some of them are biggest, some of them are smaller. And we definitely have access to further debt, we are very rich of cash at the moment and we have immediate access to significant level of debt, if we are at the position where we see the right opportunity and the right transaction, we would definitely go for debt and there are no restrictions for us.
Unidentified Company Representative: On the merger, I think that actually mergers are an opportunity for Playtech, I think it is very evident by the reaction of the market today, for example the Paddy Power and Betfair, merger and the opportunity that lies with the combination of both company and saw the growth and also the underlying performance of the combined group, I think and therefore given the fact that Playtech it contains to become a key supplier as it is for Paddy Power, Betfair, Gala Coral and Ladbroke separately currently, but once they merge later in the year will become a key supplier to both to the combined group. I think that it a real opportunity for Playtech. I think that in sourcing in general is actually -- is overstated I think that those who tried -- and a lot of those they tried failed. I think that the trends in the industry remain the same. And therefore I don’t see that is a real risk, I always said that if you think about the contribution that Playtech make to the very big groups Paddy Power, Betfair, Gala Coral and Ladbroke currently separately all together, it's a very important one to their business. And therefore I think that’s for saving a few cost out of this relationship they put a lot of risk. Not to mention the fact that developing software is not as easy as people may think and I think that some companies try in the end result was not as good as they expected. We do other acknowledge the fact that our approach should be a more open platform approach and we cater for that, so we allow customers to obviously launch their own games, if they want. And obviously integrate other peoples or other content providers games so they will have the widest reality of games for those customers. We did acknowledge that in the past -- we did say that in the past, we worked hard towards that and we continue to do that in order to provide them with the right balance of the best platform that will support their ongoing operations with the best products, but still complex ability integrating third party product and games, so they will have the best offering in each and every corresponding market.
Gavin Kelleher: Morning Gavin Kelleher from Goodbody. Just two from me please, just on the 9 million cost savings services here from annualized basis. You talked about that being reinvested and where it has been reinvested and what were the net6 saving be, is it all doing reinvested? And just linked to that just on group margins decent improvements in H1, I think in the release this morning you talked about further kind of scope for an improvement in H2. Just given the amount of moving parts with FX, underlying growth in the business improvement in white label and everything? And can you give some guidance on where they could come out in 2017?
Unidentified Company Representative: Of course, so with respect to the 9 million in cost saving. The cost that will be reinvested would be in that locations and in terms of the localized operations that we do for the services division. So when we talk about Caliente, we talk about Mexico, we talk about MARCA we talk about Spain. This is where we, essentially we will reinvest. Most of the cost is effectively already incurred, so a lot of the 9 million will be fallowing through to the bottom line but there will be additional cost related to certain relocations of employees to additional growth in some of the operation that’s been has there. It’s still too early right now to have a full view on how much of that will be contributing to the EBITDA, what we believe it will be a significant part of that. In terms of the group margin, given the fact that the changes in the cost, the efficiencies in the cost bases were done during the period, we don’t see the full effect of that in the margin for the first half. A lot of this will be impacted in the second half. With that being said, it will be balanced with the Sun Bingo for example. The growth in the white label, it will balance the margins, so when we look at the core gaming margin, we believe it will improve potentially by another percent or so, but this will be balanced by the growth in the Sun which in the beginning we’ve defiantly have it’s significant impacts on the margin for the second half, given it’s going to be predominantly for Q4. And we believe that the contributions to the EBITDA will be minimal in that quarter, in that quarter, if at all. It's really the beginning and they have to be thin. For 2017, we believe all together the gaming margin will show a positive improvement and we will also see some contribution of some addition to that, although it will impact there margin.
Tal Grant: Tal Grant, UBS and congratulations on the strong first half in gaming. Just had three question, so first of all I had a question on as you grew 17% and like to like in H1, is it possible, tell us, if you stripped out the Asian royalty rate increases what that would look like? And secondly just wondering on the Philippines, obviously you guys have a lot of few operated base that, had you had conversations with them, how easy it would be for them to move sort of jurisdictions if they have to give some of the stuff the President is saying there? Finally, you talked about the mobile opportunity. Could you just tell us in the UK so far, is it a cannibalization of desktop or have you seen, is that any other that you can share of, a total increase of player value at the start, playing on mobile?
Unidentified Company Representative: Okay, so I will answer the first and the last one, if I may. In terms of the growth X, the growth in Asia the 70% will decrease through, I would say mid to high single digit. In terms of the growth excluding Asia in its entirety, this is not just excluding the commercial changes, this is excluding the growth in Asia in it’s entirety. So I don’t have the, I won’t calculate it immediately but it will be sort of a number in between, we need to calculate that but I can easily give it after. And in terms of the mobile cannibalization, if you remember last year, we actually presented the part of the presentation, a case study on the mobile penetration in the UK market specifically. Where we showed a significant up lifting the mobile, I think the nominal change was around 70% growth in mobile, some memory. It’s on our website or you can check it, and I think what we showed in that presentation is that the majority of this growth was not cannibalizing the growth on desktop. We show growth on desktop although marginal but still growth on desktop. And addition and incremental growth on mobile. Now that doesn’t mean there is no cannibalization on desktop, potentially without mobile and growth in desktop would have been higher. But we seem to be that’s it’s a significant contributor to profit and it is mostly incremental and not really taking away the opportunity or cannibalizing the numbers.
Mor Weizer: Yes, on the maybe just what before I was mentioning before we such the sophistically that they revenue generated in Asia for Playtech our combination of various bookmakers operating out of other jurisdictions such as Gibraltar and Malta but obviously we have our big business driven by the Philippines. The references made so far since Duterte, the new President, was elected was specifically to a different licensing regime where local activities operated or that local activity operated under and we given the fact that we don’t have any currently any revenues generated locally. We don’t see that as an any risk for Playtech or and there won't be any impact on our numbers. And then our customers operate under a different licensing Philippine regime that falls under a different structure and but our customers are some based in the Philippine operating from distributing into other Asian markets and nothing for instance from being in the Philippines or basic the very-very important income source for the government and therefore I think it will be important for the government to keep its but we don’t believe that it puts only incremental risk on our business or our customers some of which relocated and migrated their business upon other parts of Asia, Cambodia and Vietnam given how attractive the Philippine licensing regime was and given that it was sponsor by the government originally and therefore I think that just to summarize the references made where to where rephrase to local activity nothing to do with place they can set our customers do not from the figures Philippines they are not allow to do that we operate from the Philippines into other markets and as I indicated nothing prevents them from moving back to their original countries if necessary. Never I expect it by the way.
Simon Davies: Simon Davies from Canaccord. Just in terms of financial trading obviously a lot of restructuring activity taking place. Can you quantify the cost savings for using incomes through an annualized basis and where do you think margins in that business we can get to on a two to three year view. Secondly on Asia you had said again to for a commercial terms. Any chance you can quantify the impact of that and it is that run its course through fiscal 2016 or is it more to go for in 2017. And finally can you talk a bit about kind of trading at BGT what kind of growth rates you are seeing there and how is the new customer pipeline shaping up?
Ron Hoffman: Okay, so in terms of cost efficiencies in markets and the markets margin going forward. First of all the margins for the financial division is highly dependent on the market volatilities well. The first half was not lot of their was putting aside the effect of Brexit that's really at the end of the first half it was mainly at quiet period in terms of volatility. Definitely when we talk about the intraday volatility that we believe that the sustainable margins for the B2C business would be around 25% to 30% but that can significantly improve on the back of B2B opportunities so it's really dependent on the growth of the B2B and the pipeline over B2B that we have which we are quite excited about which will enable us to grow the margin going forward and will definitely contribute to our EBITDA. As we talk about B2B opportunities and jurisdictions where we have no presence whatsoever, which doesn't compete with our B2C business and therefore fully complementing our business. We believe the B2C as a standalone should be around 25% annualized, again depending on volatility, evolution of the market regulations changes etcetera, etcetera. Second question was on the commercial changes in Asia.
Simon Davies: Yes.
Unidentified Company Representative: This had a full impact in 2016 already. So it happen really at the beginning of 2016, beginning of January 2016. It was something that was cater already is part of our commercial arrangement with the customers. So nothing that was negotiated newly. It was simply an arrangement where the beginning of a certain period of time was where we enabled the customers to enjoy a discount of fee, where after a certain period time it was automatically changed to the more normalized fee that we charged and that already affected all throughout 2016 in terms of quantifying that that contributed a single digit in terms of the growth to the topline.
Unidentified Company Representative: And BGT remains -- performance remain strong. BGT is going from strength to strength, actually we have more business that we intend to take that and we can afford currently. So we need to prioritize and we have been working together with the BGT management, very, very strong management led by Armin, the CEO and Founder of this business. We were closely, we already had some customers, UK bookmakers that on the back of this transaction travelled to see BGT to start realizing how the omni-channel should look like and how we integrate though so. Obviously we should expect the growth to come from the combination of existing customers such as Ladbroke and Coral integrating the BGT with our online offerings as well as new customers for BGT in different retail markets we are in discussion with Fortuna, we are in discussions with Caliente. There is a very, very strong pipeline and therefore I think that BGT which currently performs as expected slightly actually a little bit more than we expected already. We will continue to go from strength to strength and as we indicated we expected to further grow in the coming years on the back of how attractive SSBTs are across the UK which we believe would be adopted in other market as well.
Unidentified Company Representative: Are there some more questions? More?
Simon Davies: That’s all [indiscernible] it's kind of break place. And then secondly is there going to be any impact on your revenue share agreements as UK moves to tax on gross gaming revenue rather than net for bingo and casino next year?
Unidentified Company Representative: Yes, so what we provide that’s quite interesting because it's the case of both Paddy Power, Betfair and Gala they actually the set of contracts for both combined groups are very, very similar for Paddy Power Betfair, we provide on the gaming casino poker bingo games and like casino. For Ladbrokes and Gala Coral actually it extends beyond that. We provide them with the proceeds, we provide them now with the SSBTs, we provide them with the entire infrastructure of their online operation including the wallet, and then on top of that we have all the product and channels including casino poker bingo, games, games channel and light casino. So it's very, very comprehensive contract. In terms of gross gaming revenues and net revenues, we always charge on the basis of net revenue, so even if they pay higher taxes it will be -- I mean it will be deducted in order to cater for the taxes obviously they don't enjoy, I think there was only fair that Playtech will charge on the basis of net revenues, given the fact that unlike marketing the operators do not really enjoy from the fact that they pay taxes and it doesn’t really grow their business in fact they puts them under the more pressure. And therefore we will have to cater for that and we’re realistic that we will have to cater for that because this is the right thing to do with our customers. The impact obviously we believe will be in significant as we indicated even at the age of, when their tax was introduced, we managed to grow our business in absolute terms and we expect that these change will not have a very significant impact on our numbers.
Alan Jackson: Ron and Mor are available for private consultations as it. as it were. So I think if there are no question. Thank you all very much for coming along and have a good day. Thank you.
Ron Hoffman: Thank you.